Operator: Good morning, everyone, and welcome to the Oxford Square Capital Corp. fourth quarter earnings call. [Operator Instructions] Please also note, today's event is being recorded.
 At this time, I'd like to turn the conference call over to Jonathan Cohen, CEO. Sir, please go ahead. 
Jonathan Cohen: Thanks very much. Good morning, everyone, and welcome to the Oxford Square Capital Corp. Fourth Quarter 2020 Earnings Conference Call. I'm joined today by Saul Rosenthal, our President; Bruce Rubin, our CFO; and Kevin Yonon, our Managing Director and Portfolio Manager.
 Bruce, could you open the call today with the disclosure regarding forward-looking statements. 
Bruce Rubin: Sure, Jonathan. Today's conference call is being recorded. An audio replay of the conference call will be available for 30 days. Replay information is included in our press release that was issued on Monday morning. Please note that this call is the property of Oxford Square Capital Corp. Any unauthorized rebroadcast of this call in any form is strictly prohibited.
 At this point, please direct your attention to the customary disclosure in Monday morning's press release regarding forward-looking information. Today's conference call includes forward-looking statements and projections that reflect the company's current views with respect to, among other things, future events and financial performance. We ask that you refer to our most recent filings with the SEC for important factors that could cause actual results to differ materially from those indicated in these projections. We do not undertake to update our forward-looking statements unless to do so by law. To obtain copies of our latest SEC filings, please visit our website at www.oxfordsquarecapital.com.
 With that, I'll turn the presentation back to Jonathan. 
Jonathan Cohen: Thanks, Bruce. For the quarter ended December 31, Oxford Square's net investment income was $0.10 per share, and our net asset value per share stood at $4.55 and compared to net investment income per share of $0.09, and a net asset value per share of $3.85 for the prior quarter.
 For the fourth quarter of 2020, we recorded total investment income of approximately $8.6 million as compared with approximately $8.2 million in the prior quarter. In the fourth quarter of 2020, we recorded net unrealized depreciation on investments of approximately $35.7 million or $0.72 per share compared to net unrealized depreciation on investments of approximately $20.9 million or $0.42 per share for the prior quarter.
 In the fourth quarter of 2020, we recognized -- realized losses on investments of approximately $700,000 or $0.02 per share compared to realized losses of $4.4 million or $0.09 per share for the prior quarter. In total, for the fourth quarter, we had a net increase in net assets from operations of approximately $39.7 million or $0.80 per share compared with a net increase in net assets from operations of $20.8 million or $0.42 per share for the prior quarter.
 During the fourth quarter of 2020, our investment activity consisted of purchases of approximately $46.9 million, sales of approximately $25.4 million and repayments of approximately $51.1 million.
 We note that as of December 31, we held cash and cash equivalents of approximately $59.1 million. However, there were also unsettled purchases of approximately $23.2 million, all of which settled in January of 2021. As of March 15, 2021, we held cash and cash equivalents of approximately $24.5 million.
 On February 23, 2021, our Board of Directors declared monthly distributions of $0.035 per share for the months ending April, May and June of 2021.  Additional details regarding record and payment date information can be found in our press release that was issued on Monday morning.
 With that, I'll turn the call over to our portfolio manager, Kevin Yonon. 
Kevin P. Yonon: Thank you, Jonathan. During the quarter ended December 31, 2020, U.S. loan market strengthened versus the quarter ended September 30, 2020. U.S. loan prices, as defined by the S&P/LSTA Leveraged Loan Index increased from 93.18% of par as of September 30, to 96.19% of par on December 31. According to LCD, during the quarter, pricing dispersion related to credit quality continued with BB-rated loan prices increasing 1.99%; B-rated loan prices increasing 2.74%, and CCC-rated loan prices increasing 5.39% on average. The 12-month trailing default rate for the S&P/LSTA Leveraged Loan Index decreased to 3.83% by principal amount at the end of the quarter after starting the quarter at 4.17%.
 Additionally, the distress ratio, defined as a percentage of loans with a price below 80% of par, ended the quarter at approximately 2.2% compared to 5% on September 30, after peaking at 57% on March 23, 2020.
 During 2020, primary market issuance of approximately $289 billion, was 6.5% below issuance during 2019. Moreover, U.S. loan fund outflows, as measured by LIBOR, have moderated with only $40 million of outflows for the quarter ended December 31, versus approximately $2.9 billion of outflows for the quarter ended September 30. Total outflows for 2020 were approximately $19 billion. We continue to focus on portfolio management strategies designed to maximize our long-term total return. As a permanent capital vehicle, we historically have been able to take a longer-term view towards our investment strategy. 
Jonathan Cohen: Thanks very much, Kevin. We note that additional information about Oxford Square Capital Corp.'s fourth quarter performance has been posted to our website at www.oxfordsquarecapital.com. And with that, operator, we're happy to open the call up for any questions. 
Operator: [Operator Instructions] And ladies and gentlemen, I'm showing no questions. I'd like to turn the floor back over to Mr. Cohen for any closing remarks. 
Jonathan Cohen: Thanks very much, operator. I'd like to thank everyone who participated in the call today or who listened to the call via replay. We look forward to speaking to you again soon. Thank you very much. 
Operator: And ladies and gentlemen, with that we'll conclude today's conference call. We do thank you for joining. You may now disconnect your lines.